Operator: Greetings, and welcome to InspireMD Fourth Quarter and Full Year 2021 Earnings Call. [Operator Instructions] Please note this conference is being recorded. I would now like to turn this conference over to Chuck Padala with LifeSci Advisors. Thank you. You may begin. 
Chuck Padala: Thank you, operator, and good morning, everyone. Thank you for joining us for the InspireMD Fourth Quarter and Full Year 2021 Financial Results and Corporate Update Conference Call. Joining us today from InspireMD are Marvin Slosman, Chief Executive Officer; and Craig Shore, our Chief Financial Officer.
 During this call, management will be making forward-looking statements, not historical facts. These are based on management's current expectations, beliefs and projections which may -- many of which, by their nature, are inherently uncertain. They involve risks and uncertainties that may cause actual results to differ materially from those expressed in the forward-looking statements. For more information about these risks, please refer to the risk factors described in InspireMD's most recently filed periodic reports on Form 10-K and Form 10-Q filed with the U.S. Securities and Exchange Commission, and InspireMD's press release that accompanies that call, particularly the cautionary statements made in.
 The call contains time-sensitive information that is accurate only as of today, March 8, 2022. Except as required by law, InspireMD disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call.
 It is now my pleasure to turn the call over to Marvin Slosman, Chief Executive Officer. Marvin, please go ahead. 
Marvin Slosman: Good morning. Let's begin with the reiteration of our mission at InspireMD to establish CGuard EPS as the standard of care solution to change the way carotid artery disease is managed and strokes are prevented. The CGuard carotid stent system enables this change through its unique design and proprietary, MicroNet mesh protection, which has yielded an unmatched and growing body of clinical evidence in real-world practice as well as ongoing clinical studies. 
 We serve equally all physician specialists treating carotid artery disease with focus on the stent system and patient outcomes. As we create greater awareness of the advantages of CGuard as a first-line option for preventing brain embolization, not simply during the carotid stenting, but also after the procedure, our scientifically validated MicroNet mesh feature enables this unique clinical advantage, and in combination with our next-generation delivery system, along with our new transcarotid accessory solution, we believe we can enable the conversion of this surgical-dominated $5 billion global total addressable market to a less invasive endovascular standard of care. We will advance this topic later in the discussion.
 2021 proved to be a year of change with more commercially focused on our increased CGuard users and procedures in our 40 served markets to create awareness and experience within the U.S. physician community through utilization in the CGuard -- C-Guardians FDA trial and our extensive studies of the device with numerous clinical trials, which continue to demonstrate solid clinical evidence of CGuard superior clinical results to an ever-expanding endovascular-focused market, which has yielded many new users and foundationally grown CGuard as a leader in the carotid stenting field.
 CGuard's unique and proprietary design makes it the most advanced treatment for carotid artery disease over all other stent technologies and surgical endarterectomy, a highly invasive surgical procedure. Execution of our strategic priorities, financial stability and the growth of our commercial footprint, all continue with focused determination as we enter 2022.
 As for 2021 results, our commercial business grew 56% year-over-year in CGuard sales, representing shipments for procedures of approximately 7,000 units. Sales in our top 8 markets grew by 67%, driven primarily by increases in market share. For example, in Italy, we achieved 36% market share of the existing CAS implants, up from 26% the prior year. Procedural volume reflects an important measure of the strength and size of our business as we currently share a portion of the average sales price in major markets with our distributor partners, further emphasizing our priority to convert more markets to a direct sales approach to fully capture top line revenue recognition.
 To date, we have sold over 28,000 CGuard EPS systems, building a strong foundation of unmatched clinical data, both short and long term, as the best-performing, most studied and safest carotid stent in the market. Our advancing enrollment in C-Guardians FDA IDE trial continues with 12 sites currently enrolling in the U.S., with plans to start 3 more, along with 4 in Europe during the second quarter. Our patient enrollment over the past 60 days has accelerated rapidly with more investigator experience and confidence in CGuard yielding continuous enrollment at sites following the initial launch. We have invested in a world-class team and partners to drive enrollment and study execution, and thus far, we are pleased with our rapidly growing case results. Our current outlook is to complete the enrollment of the trial in Q1 2023.
 Principal investigator, Dr. Chris Metzger, at Ballad Health System in Eastern Tennessee, continues to lead the enrollment with 50 cases to date and guides our direction. As we previously discussed, in 2020, we successfully raised sufficient capital to fund our strategic plans, providing sufficient runway to complete what we believe to be significant milestones in 2022 and 2023.
 In Europe, we continue to build a momentum in France as our most recent country to be approved and reimbursed for CGuard, and we have hired direct sales representation to capture the momentum of this latest launch. Concurrently, we continue to accelerate our plans to advance our direct sales effort in other selective strategic locations to capture higher average sales price and enable greater control of the sales process to drive growth with focused attention to new tools and accessories, as we have demonstrated in the U.K. and France.
 Our strategy in Asia continues, including talks in Japan with distributor partners interested in representing CGuard. As we noted previously, and consistent with our agreement in China, we believe the Asia market offers an opportunity for CGuard as the existing standard of care for procedural intervention is predominantly endovascular and less surgically dominated.
 Our strategic commercial pathway for CGuard continues with a new transfemoral delivery system, CGuard Prime, offering greater navigation and flexibility to address more challenging patient anatomy as well as a broader set of evolving indications. We will offer CGuard Prime in both standard and short shaft versions, compatible with our development of our TCAR accessory device enabling a transcarotid solution designed for conversion of vascular surgeons who perform the vast number of carotid revascularizations. Both devices are planned to launch in late 2022, early 2023, and we believe will foundationally change the landscape of CGuard utilization to the broadest group of specialists performing endovascular procedures.
 Our mission is to serve all who treat carotid artery disease with tools to enable CGuard stent placements for best patient outcomes. As we chart a new course for how carotid stenosis is managed and how strokes are prevented with our clinically proven CGuard EPS system, our mission is to provide the best patient outcomes and broad set of tools to unlock the tremendous potential of this rapidly evolving market segment.
 With that, I'll turn the call over to Craig to review our financial results. 
Jeremy Feffer: Thank you, Marvin. Revenue for the fourth quarter of 2021 was $1,380,000, an increase of $1,222,000 or 774% compared to $158,000 in the fourth quarter of 2020. Excluding the $580,000 negative impact on revenue from our settlement of litigation with a former distributor from 2014 in the fourth quarter of 2020, total revenue increased by $642,000 or 87% to $1,380,000 from $738,000 during the fourth quarter of 2020. This increase was predominantly driven by an increase in revenue of CGuard EPS by $603,000 or 88% to $1,291,000 for the fourth quarter of 2021 from $689,000 during the fourth quarter of 2020. This increase is mainly due to the growth in market share in our major markets; expansion into new markets; and due to the fact that in the fourth quarter of 2021, procedures with CGuard EPS, which are generally scheduled for nonemergency procedures, began to return to normal levels as compared to the fourth quarter of 2020 when procedures with CGuard EPS were postponed as hospital shifted resources to patients affected by COVID-19 beginning in February 2020.
 For the fourth quarter of 2021, gross profits increased by $684,000 to $294,000 compared to a gross loss of $390,000 for the fourth quarter of 2020. This increase in gross profit resulted from the impact of the $580,000 settlement with our former distributor in 2014, which was recorded in the 3 months ended December 31, 2020, as previously mentioned; as well as $207,000 increase in revenues less the related material and labor costs.
 Gross margin increased to 21.3% during the fourth quarter of 2021 from a negative 247% during the fourth quarter of 2020 driven by reasons previously mentioned. For the fourth quarter of 2021, total operating expenses were $4,225,000, an increase of $897,000 or 27% compared to $3,328,000 for the fourth quarter of 2020. This increase was primarily due to increases in expenses related to the commencement of C-Guardians FDA study; share-based compensation-related expenses due to the recognition of grants made since August 31, 2020; and sales and marketing expenses associated with expansion of existing and new markets.
 For the fourth quarter of 2021, financial expenses decreased by 7.6% or $10,000 to $121,000 from $131,000 during the fourth quarter of 2020. Net loss for the fourth quarter of 2021 totaled $4,097,000 or $0.53 per basic and diluted share compared to a net loss of $3,853,000 or $1.52 per basic and diluted share for the same period in 2020. The average amount of shares outstanding used for the earnings per share calculation were 7,796,027 in the fourth quarter of 2021 and 2,533,936 during the fourth quarter of 2020, both adjusted to reflect the 1:15 reverse split effected by us on April 26, 2021.
 As of December 30, 2021, cash, cash equivalents and short-term bank deposits were $34 million compared to $12.6 million as of December 31, 2020.
 This concludes our commercial remarks. I will now turn the call back to the operator for Q&A. 
Operator: [Operator Instructions] Our first question comes from the line of Ben Haynor with Alliance Global. 
Benjamin Haynor: Can you hear me all right? 
Marvin Slosman: We can, Ben. Thanks. 
Benjamin Haynor: Excellent. So just to start off, congrats on the inclusion in CREST-2. There's not a ton of similarly large trials that have happened in the past, I suppose. And so it's kind of a small sample size. But are you guys aware of a similar situation where a device that hasn't gained regulatory clearance has been included in a trial of a similar profile? 
Marvin Slosman: It's a really good question, Ben. We're not aware of that, and we think it's a great proxy to the fact that CGuard was allowed to be included in something as important as a CREST-2 effort. So from our perspective, this was a great accomplishment to be able to have a stent technology that's not yet approved to be included in such a meaningful effort. So we're very proud of that and think it's a good indication of the value of CGuard. 
Benjamin Haynor: I mean, congrats on that. That makes a lot of sense. So then, my understanding is the stenting arm is running a little bit behind the CA arm. Do you have a sense of how many CGuards could be used in CREST-2? 
Marvin Slosman: Yes. We're -- at this point, we're really trying to understand the number of devices that we could participate in. And we're working, obviously, closely with the CREST-2 executive committee to get things launched and put together. We hope to be able to participate as completely as possible within the context of the current stenting arm and the people that are enrolling in that. And we think that by offering this next-generation technology, there will be a resurgence of interest in being able to use CGuard and continue along the path of stenting. So at this point, we don't have a quantified number for you, but we certainly believe that this news will invigorate the interest in those who are interested in stenting and using CGuard. 
Benjamin Haynor: Okay. That makes sense. And then the -- you've got -- I think you'll have, what, 19, 20 sites up and running here in the C-Guardians trial by the end of Q2, it sounds like. I think there's 140, 150 CREST-2 sites. Do you have a sense of how broad you could go in CREST-2 in terms of number of sites? And how much overlap is there between C-Guardians and CREST-2? 
Marvin Slosman: Sure. No, really good question. And we're working again with the CREST-2 Executive Committee to figure out what the best pathway is related to both sites that are currently participating in C-Guardians and those that are participating in CREST-2. So obviously, we're looking at those sites that are currently C-Guardians sites and seeing if they would participate in CREST-2 and then CREST-2 sites that may be interested in becoming C-Guardians sites. Those are the easiest pathway to progress. And then, obviously, outside of that, there's more sites that we could bring in. But for the value of being able to get ones that are ready, those 2 categories seem to be the easiest path to follow at this point. 
Benjamin Haynor: Okay. Got it. And then just kind of a numbers question. You've got the CGuard development advancing. You've got the CGuard's trial enrolling. What is R&D -- or I guess, how do you see R&D expenses tracking throughout the year? . 
Jeremy Feffer: Ben, it's Craig. As we progress with the FDA trial, you should see expenses going up with R&D as we continue to recruit and activate new sites and also with some of the development work for the new products that Marvin mentioned. And then you should see a decline coming in the next couple of years as we start to wind down the FDA trial. 
Benjamin Haynor: Okay. That makes sense. I think that's all I had, guys. Congrats on the progress. 
Operator: We are only taking questions from covering analysts today. We have reached the end of today's question-and-answer session. I would like to turn this call back over to Mr. Marvin Slosman for closing remarks. 
Marvin Slosman: Great. Thank you. I'd like to thank everyone for taking the time to join the call today. We're extremely proud of the accomplishments of our global team in 2021 and certainly look forward to with great anticipation, our progress in 2022 with focus in growth and market expansion. Thanks for taking the time to join the call. 
Operator: This concludes today's conference. You may disconnect your line at this time. Thank you for your participation. Enjoy the rest of your day.